Mia Nordlander: Good morning everyone. We are here today to present our Q3 2022 Report Presentation. And today with me I have our CEO, Kristian Nylen; and our CFO, David Kenyon. We will start to present a quarter. And after a presentation, you’re very welcome to send your questions through the website or you can also call in to ask them here. So once again, welcome and over to you Kristian.
Kristian Nylen: Thank you, Mia. So yes, good morning, everyone. I will begin with a brief overview; turn to the next slide please after which David will go through financial performance. And after that, I will go in a little bit more depth on the quarter before we take some questions. So highlights of a quarter I first of all, I’m quite pleased we were 12% operator turnover growth during the quarter. Q3 is notoriously a very weak quarter-of-year, very little sports going on. Especially since we started in the U.S. it has become even higher seasonality impact since the two big sports of American football only has one month in September and the basketball doesn’t start until mid October. This year, we also have some extra headwinds with DraftKings having some turnover in early over quarter. And we also last year had a big soccer tournament, the Euros, which had we lost matches last year, more about the impact of that David will talk about. We also are in down, tough global economic situation. I would say for us, the impact is a little bit softer, since we have a lot of businesses in the Americas, where economics looks slightly better. And also we have very strong currency and the dollar. Outside of that, I think we have done five signings during the last three months. So very happy about where we’re going there, especially great Canadian that came off the end of the quarter is a great signing, which I will talk more about later on. During the quarter, we also signed the front end specialists the Shape Games, which will have a great impact on our offer where they are having a front end which is something very much desired by our prospects and it fits very, very well into to our story and I will talk more about that later. And finally, we have identified bet builder as the first product we will go with a motorized offer and we will talk more about that later. And the plan is still the same. We are planning to launch with for market in Q1. But first over to David.
David Kenyon: Thanks Kristian. Turn to slide 4. So yes, we saw overall a robust financial performance this quarter. We continue to be profitable. We use our powerful balance sheet to fund the purchase of Shape Games. And we look forward to a very busy sporting calendar in Q4. Revenue of 36.7 million was driven by operator turnover growth of 12% and an operator trading margin of 9.5%. It’s against the comparative you see there 41.6 million, which included around 30% from DraftKings in its last quarter under contract with us last year. Costs before FX and before the Shape acquisition costs of Shape which are added to the P&L were 32.8 million, which was in the forecast range we gave last quarter. And this led to an operating profit of 3.9 million for the quarter at a margin of 10.6%. The net cash position of 38.1 million reflects the 35 million we use to acquire shape games during the quarter. The agreement with Penn that we announced recently has seen the 12.5 million termination fee paid after the quarter end. So I can expect this cash balance to increase significantly during Q4. Turning to slide 5. This is the operator turnover index. It sets out an aggregation of the results of operators. The blue columns are an indexed turnover across the portfolio and the orange line is the operative trading margin again, aggregated across the portfolio. This trading margin for the quarter was 9.5%, very high this quarter against 9% in Q3 last year. Year-on-year the turnover went from 573 to 640 despite this increase in offered trading margin. And actually should be noted there are some factors increase in the comparative that were against the 573. So firstly DraftKings at the tail end of their business actually did fall into Q3 last year. So that added around 40 to the index in Q3, 2021. And also the last seven matches of the Euro 2020 Soccer Tournament also in Q3 last year, which added around 20 to the index. But these positive last year were offset now by this time this year, by a number of factors, including new customers we launched since then. And new markets we’ve launched into Connecticut, Louisiana, New York amongst others. I really want to drill down into that 640 because it’s quite an interesting quarter. We start with July with very kind of a quiet sporting calendar. Then during August we see the return of the major European soccer leagues and then in September, in the middle of the month, the NFL season starts. So we see a very rapid progression of the index turnover during the quarter, up to 257 in the month of September. Rolling that forward into Q4 in October onwards of course we’ll see full months of NFL and soccer. The NBA season also started last week and the college basketball season will begin in mid November. On top of that, the Soccer World Cup also starts in mid November and runs through a month before the major European soccer leagues resume in short order after that. So I think the key for supporting candidates can be extremely busy. And this September run rate you see here should be exceeded each month in Q4. Turning to slide 7. The revenue conversion chart. So constant exchange rates operator turnover was up 5% on Q3 last year. This was boosted by the dollar being stronger than last year versus the Euro. This grew the growth to 12% in total. As I mentioned, the operative trading margin was higher than last year at 9.5% up from 9%, plus tax and marketing deductibles were also higher than last year with increased taxes that we shared in the Netherlands, Connecticut and New York amongst others. The biggest factor on this chart, of course is in the other column. And it’s a significant negative impacts this quarter. The biggest single item there is DraftKings. So in Q3, 2021 approximately 30% of our revenue came from DraftKings and the vast majority of that was shown in the other column in Q3 last year. That of course disappears this year. But that negative is offset by, to some degree by fixed revenues from Mohegan Sun, by our revenues from Avios and also by the revenues from Shape which accounted for around a million Euros in the month of September. So the net effect of all those items is a 12% decrease in our revenue to 36.7 million. Turning to the cash flow on slide 8. So our opening cash balance at the start of the quarter was 81.6 million. And as you see the biggest single item affecting the cash was the acquisition of Shape. We use 35 million of our cash and that took the closing balance to around 45 million. As I mentioned, I think this balance will increase significantly during the quarter. Not only do we expect the very busy sporting calendar to generate good results, but also the recent agreement with Penn has seen that $12.5 million come into the bank for Kambi since quarter end. And finally I wanted to introduce Shape Games. From a financial perspective, we brought a profitable and fast growing company. They worked with a number of major operators including Dansko Spill, Norsk Tipping and JACK Entertainment. The revenue model works in a number of ways that they offer it in different ways to different operators, but it can be either through fixed fees or revenue share or on a per resource basis. The biggest costs they have is their staff. They have around 70 staff mainly based at the head office in Copenhagen. And we look forward to a successful partnership going forward. So with that, I’ll hand you back to Kristian. 
Kristian Nylen: Thank you, David. And I will continue on Shape. So I mean, we are always looking to improve our offering. And under, I think one area where we have for a long time taking a very conscious decision is to not invest in native front end applications. At this point, we felt that this is something that more and more of our prospects and customer base are asking for. And therefore, we have for some time been partnering up with especially Shape when it comes to native front end. So, this deal was very natural for us. We knew the company very well. And we felt that we had a very good culture fit. But on top of that, I mean, what we get here is a front end is very customizable, that gives our operators even more differentiated capabilities. They have also developed a wide range of engagement products, such as an AI-driven recommendation engine. We have a lot of social features. And we have a free to play application as well. But JACK Entertainment are currently using waiting for the Ohio, State of Ohio to regulate. So in short, I think we’re taking a major leap when it comes to user experience. And I think Shape Games is a great fit for us. And comes as David mentioned, we have some fantastic customers themselves. On top of that, I think Shape Games can really benefit from gaining access to draw important networking and possibly make a few customers of our existing customers. We have been talking a lot about the modernization over the last couple of quarters and the plan is still progressing very well. Now we’ll come to decision but the first product we will modernize is the BetBuilder. BetBuilder I think we have been winning awards because we have a very standout product in the market. Now we’ve basketball being launched just in time for the NBA season. We have a full suite of the U.S. sports and we’ve also the five biggest team sports for a year for Kambi network. We have looked a little bit on the interest and we feel that there is definitely an interest in market. And it will make us, give us a possibility to penetrate the market that we have currently not really have an access to. So we’re really looking forward to this. The plan is still to go to market with moderate services in Q1 in 2023. We have done a lot of signings. In the last three months we have done five signings during Q3, four of them. Oaklawn which is have been a customer of ours through Churchill for some time, but now we have a contract with them on their own. And with that we also added the online to what we had before in retail in our console. We have [Indiscernible] which has a very large casino in Washington State, which means that we aim to win 90 few state with Washington. I think this is a state that we foresee being only retail for some time. So having one of the best located casinos in the state is very, very good for us. Thirdly, we have Mohegan which we have had a relationship online. But now also we have an own property deal launching in two casinos in the state of Ontario. And lastly on this slide, we have on this which are operating in Argentina and with this agreement we can expand our reach in Argentina market from three provinces currently to potentially turn. So very happy about that. Of course, we have also been busy with launches and of course, the biggest one this quarter has been reentering the Netherlands we’ve kindred and as kindred reported themselves during the capital markets day they have done better than we expected and yes taking quite a decent share already have a market in the Netherlands again. We have, of course, as I mentioned earlier launched the two casinos in, online sports book for Mohegan in Ontario. And finally we have done a six partner launches in the U.S. Two of them worth mentioning is the first entry for maximum bets in Indiana and also we have launched PENN in the state of Kansas. After Q3, we have done probably what I believe is the most important deal to talk about here and that is a Great Canadian entertainment. Great Canadian is one of the largest casino operators in Canada and we will be launching in 10 properties in Ontario to start with. Great Canadian is all also owned by Apollo, which owns numerous other gaming assets. So hopefully that means that we have an easier access to some other potential partners in the future. We also mentioned off the Q3 we have come to an agreement with PENN, this agreement means that PENN will stay on for full retail to somewhere in 2024. More importantly, it also means that we will receive $27.5 million in early termination fees, but also a transaction fee that will be spread out over the remaining period here. We have agreed to cooperate with some additional state launches. We have done Kansas just recently, and we have a few hours what we will do later this year or early next year. I think it’s very important also to point out that during this time, up until the VALLEY we will, of course continue to make a commission on their revenues for the part of a business that we continue to operate which is more or less everything we operate now, up until Q3, ‘23, and after that all of the retail properties for another period of time. So to summarize the quarter with the acquisition of Shape, I think we’re taking a major leap forward on the user experience side. I believe we are putting ourselves in a great position we’ve a product we have at the moment. We have a very positive commercial momentum with five signings during the last three months. And most notably, as I mentioned, a Great Canadian. And I also would like to mention that the pipeline remains still very strong. And I think we’re very well-positioned to withstand the global economic outlook. I think B2B business will thrive going forward. And also the sporting calendar is as its busiest and we’re looking forward to see all the big U.S. leagues up and running soon. And we are looking forward for a World Cup in November and December.  So with that thank you very much. And let’s take some questions.
Mia Nordlander: So thank you very much, Kristian and David, it sounds like you are pleased with the quarter despite very quite calendar, and very excited about the future. As I mentioned in the beginning, you can either send the questions to me here through the web page, or you can call in. So we’re going to start with the questions from the phone. So over to you, operator.
Operator: Thank you very much. We will now begin the question and answer session. [Operator Instructions] First question comes from Oscar Ronnkvist from ABG. Please go ahead.
Oscar Ronnkvist: Thank you and good morning, guys. First off, I just wanted to hear your thoughts about the sort of the turnover growth sequentially. You said that you’re pleased with the quarter. So when we have like rough streets in Mexico, Kyndra Nedlands on Perry ramp up, Penn, Kansas, sort of like for like, growth, excluding all the sort of headwinds. I mean, it should be down quite a lot from Q2 levels. So can you just explain to me, I mean, obviously we have some sort of seasonality, but are we sort of thinking that that seasonality impact isn’t as great as you might think?
Kristian Nylen: Yes, I think I mean, the seasonal impact between the quarters is massive and I think you will see that in Q4 now, as I said, I mean, or as David said, I mean, we expect all three months in Q4 to quite handsomely beat out September. We had, as we mentioned, a few headwinds when it comes to seasonality as well, especially when it comes to having some revenue steal from DraftKings but mainly having the ending of the Euro championships from last year.
Oscar Ronnkvist: So that’s why we saw better sequential, obviously. But I mean, sort of Q2 should also be a very quiet sporting calendar and also mentioned in the last conference call, right? I mean, the U.S. sports are sort of ending in April. And then the NFL is ending in February. So Q2 should be really quiet as well.
Kristian Nylen: No, I mean basketball, or NBA. I mean, I think the finals is usually in June. So that is going on for quite some much more of a time. You have the soccer is usually ending somewhere in late May. And the ice hockey also have a finals in June. So you, Q2 is usually a much better quarter than when Q3 also.
David Kenyon: I think the other point is, the margin, which was a point higher here in Q3 versus Q2 which of course has a somewhat of a dampening effect on this Q3 number for the turn over.
Oscar Ronnkvist: All right, got it. So then just on the operating expenses, so sort of excluding the Shape Games acquisition, which obviously comes with some stuff, I think that you’re sort of FTAs are not really that much seen since Q2 and it wasn’t really that much from Q1 to Q2 either. So are you sort of not hiring people at the moment? Or how should we think about that going forward?
Kristian Nylen: Yes, good question. I think I mean, obviously, there’s impact of attrition, as well as it’s not been a massively conscious decision up to this stage to stop hiring. It’s more than making sure we can fill the gaps. But I think more importantly, is what we talked about going forward. We’ve been talking standing here and talking about slowing down our rate of cost growth ultimately, because we’ve been spending on projects such as automation which are intended to able to lead to longer term cost growth slowdown. So I’m really pleased that we can announce today that we will be slowing that rate of cost growth. At the same time, as we’re seeing inflationary pressures on quite a few parts of our cost base. I think it’s really important, we don’t ignore that and we take tight grip on that, and make sure that when we do make new signings that are the ones Kristian talked about, that they will lead to kind of to prove the scalability and the business model, which we’ve also been talking about. So yes, it’s the main thing is, is to look forward and we’ll give more details in future releases about what this cost growth will look like next year. But just take it from us that we are working on making sure that cost growth does slow down.
Oscar Ronnkvist: Alright, does slowing cost growth have anything to do with revenues coming in slower than you expected or sort of the pipeline coming in slower than you expected?
Kristian Nylen: No, I think as David said, I mean first and foremost, I think it is a product of us being able to automate more and more in the future. And also I think, I mean we have some obvious synergies that what we need to realize when it comes to our own front end development and what we now can do with Shape. So no, I wouldn’t say that it has very much to do with slower revenue growth. It’s more about that we feel this is a very good time for us to become more prudent with our cost and now we really see what we have opportunities. We have more of automation and some synergy wins to come.
Oscar Ronnkvist: Just a final question. You talked a lot about the sort of strong pipeline that you see. Is anything that have changed over the last year? Or is it anything that have changed in from your what you’re seeing now, relative to what you’ve seen sort of one year ago, and the Great Canadian signing, is that sort of the great pipeline that you’ve been talking about? Is that included there? Or are we should we see that sort of better signings or larger signings further on what you think?
David Kenyon: I will obviously not comment on what signings we will do, but of course, Great Canadian was a part of the pipeline before we signed them. But I would also say that I mean, it’s still very strong and coming back from G3, I feel we are in a very, very good shape going forward.
Operator: Next question comes from Edward Young from Morgan Stanley. Please go ahead.
Edward Young: Good morning. I’ve got two questions, please. First of all, in your remarks, you said that the impact of macroeconomics would have been softened by your large exposure to the early stage U.S. market. And also currency was a sort of factor in there. Just to be clear, do you think you’ve seen some impact of softness from the macroeconomic environment or you’re just saying that, broadly, it will be hard to spot because of your mix? So have you seen any? And then second one on the BetBuilder, I wonder if you could talk a little bit more about the modularization there. One of the issues that operators who have outsourced that product from other suppliers have found is that this essentially being a friction between the odds generated or odds used within the same game parlay and those from the remainder of their book, and that’s created some UX issues. How are you solving those if you’re marginalizing the product to give to a supplier already has their own trading and risk book for the rest of their offer? Thanks.
Kristian Nylen: So on your first question, I mean, it’s so hard to see what is the course and what it would have been if everything was still the same. I mean, since the seasonality is such a big part of our turnover, we obviously have new customers that are growing quite handsomely. And I’m more saying about I mean, it’s quite obvious, but with the cost of living going up quite significantly, it will have an impact on what where people can spend on entertainment and gaming in particular here. So it will have an impact on I’m sure it has had some impact already. On your second question about BetBuilder, I think this is one of the big reasons we strongly believe that we have an opportunity here. I think we have a significantly stronger product than the other B2B options out there. And I think we also may have a solution to the problem going forward on how to harmonize the pricing.
Operator: Thank you. Next question comes from Viktor Hogberg from Danske Bank. Please go ahead.
Viktor Hogberg: So follow up on the pipeline. We talked about the opportunity of a European operator, and that might have come to roads and when it comes to tech development. Is that opportunity still there?
Kristian Nylen: There are still opportunities out there. Absolutely.
Viktor Hogberg: How much did that contribute with? You mentioned the Shape contribution?
David Kenyon: Hi, Victor was around half a million Euros in revenue and that point one on EBIT line.
Viktor Hogberg: So roughly trading in line with very has been the past couple of quarters. You’re starting to see, is it going as planned or what to expect from my guess?
Kristian Nylen: Yes. I guess. It’s not so much seasonality I think the path to greater profitability when they move into the making revenue from the odds on sports, which is certainly in the pipeline. And most certainly, we’d hoped to, in the first half of next year be showing that increased profitability from that revenue.
Viktor Hogberg: That’s when you’re going to launch that.
Kristian Nylen: That’s the plan. Yes.
Viktor Hogberg: On the turnover, growth, turnover index, when you slice it up into quarter went by and looking into Q4, do you expect all three months to be better than September? Sounds like you expect each month to be better than the previous? Is that how we should read it as well? November better than October, December better than November and so forth, given the schedule?
Kristian Nylen: Yes, I think certainly November should be better than October. Tricky thing is the World Cup. I mean, it is a great tournament. It also means that a lot of domestic soccer leagues is taking a pause. So I struggled a little bit to feel confident on if it’s positive or negative, we will cap for that period. For longer term, it’s surely a positive because the fixtures in the domestic leagues, they have to be played at some point. But I’m sure that in November we will be stronger than October. I would guess that December will probably be on par, maybe in November or possibly slightly worse.
Viktor Hogberg: Looking at Shape, could you describe your P&L model, the drivers what to expect in terms of growth doubling its revenue this year, but that’s from customers going live? What to expect here? What’s the market growth rate? What’s the opportunity for them to grow under your umbrella?
Kristian Nylen: Yes, I mean, I think that there’s two ways they’re going to grow their revenues. One is upselling of services. So they offer quite a broad range of services. And obviously, they can enter with an operator with one service and then expand the offering. So that’s certainly one. And that would be one way of growing that that revenue. Second is new customers, I mean, that currently with kind of just under 10, 9 or 10 customers there’s clear potential for that, that number to increase. And I think with a fantastic offering, it’s absolutely the plan that they can keep selling just at the start of their journey, really.
Viktor Hogberg: And the P&L model, is there any recurring revenues in the rev sharp one time fees? How does it work?
Kristian Nylen: It’s really a mixture. And it’s flexed per operator. Some have part fixed and part rev share, or some it’s almost on a case by case. But certainly, yes. You can say the costs are linked to the revenue and a large degree because a lot driven by development costs that they’re providing on to the operators. So they’re already profitable. And there’s absolutely reason to think that profitability grows as like sign more customers and upsell their services.
Viktor Hogberg: And in terms of their profitability, any capitalizations in there that affects that the cash flow would have been mismatched with earnings or taking over the over the P&L the investments.
David Kenyon: I mean, there was some capitalization, but nothing that anything materially impacts the profitability. We talked about in the press release. I think it was 2.8 million last year. And we talked about that potentially doubling this year.
Viktor Hogberg: Could you also help us with the thing if they’re doubling their revenues this year from going live with new customers, what’s the facing of the time number them going live? Was that all during the first part of this year? So we see the majority of defects in 2022 or any effects from that also to be seen in 2023?
Kristian Nylen: I think certainly some went live earlier this year. I haven’t got an exact phrasing on top of my head actually.
David Kenyon: Yes. I mean, Jack Entertainment. Of course, it’s live. We were free to play solution at the moment. But we expect the market to open in January so I guess that’s obviously, making a difference.
Viktor Hogberg: You mentioned on the ownership of Great Canadian and all being there. You mentioned that could potentially mean something for other partnerships going forward. Could you expand on that comment?
Kristian Nylen: Not very much. But of course, being on the map of the owners as a supplier to Great Canadian, it showed, if anything, have a positive impact, at least.
Operator: Thank you. And I’ll hand it back to the speaker for web questions. Over to you.
Mia Nordlander: Thank you very much. Kristian, I will start with you and modularization. And the first one is how does the timer look for launching BetBuilder as a standalone service?
Kristian Nylen: Yes as I said, I mean, I hope to, for us to go to market, as I previously communicated in Q1. Obviously, I don’t know when we sign with customers. So that is a trickier timeline to point to. 
Mia Nordlander: Okay, and here’s a question regarding the pricing model of a modernized sports book. Is it higher than regular take rate? Or how does it work? Anything you can comment on?
Kristian Nylen: No, I don’t want to comment on that until we actually go to market with it. 
Mia Nordlander: And another question is that if you plan to launch other models as well, in the future, rather than particular?
Kristian Nylen: Absolutely and we will continue communicating about this when we’re when we have more to communicate.
Mia Nordlander: David, question for you. Why have the buybacks been holding during a period of a volatile stock price? Anything you can say about buybacks?
David Kenyon: Well, you saw that made a massive acquisition for us fully in cash during the quarter. So that’s clearly been we’ve known about that. And we’re working towards that. I think the important thing now is to build that cash balance back up. That gives us potential either for future M&A or more buybacks in the future. But it’s for now, it’s we also need some level of cash to stay in the business. But it seems we can build it back up again, that opens up the door for those kinds of transactions in the future.
Mia Nordlander: Our customers requires a strong balance sheet as well. I think it’s important to remember. 
David Kenyon: Yes. 
Mia Nordlander: Thank you. Can you also, David, elaborate on other operating expenses, why it’s up? 
David Kenyon: Why it’s up from Q2? Yes, well, Q2 we had a huge FX gain, which depress other OpEx. So we did have a gain in Q3 but it was much smaller than the one we had in Q2 which kind of artificially plays with the numbers. There was a few small extra costs we took in Q3 for example, the legal costs with the Shape acquisition, but by far the biggest impact on that one is the FX.
Mia Nordlander: Thank you. Another question for you, Kristian. Have you seen any customers transferring in Europe from internal solution to Kambi? 
Kristian Nylen: We have seen a few but it’s not very recent. But I definitely see what we see something we hope for and expect to happen. Yes, we actually have won quite recently on what is a Belgium lottery, which transferred from technology hours a year ago roughly.
Mia Nordlander: And here is another about modernization for you Kristian. Are you confident you can also send modular service like BetBuilder to big U.S. players?
Kristian Nylen: I mean, there are a limited amount of big players, of course, but I’m confident we have a product to sell to them. And I am sure we will have discussions. 
Mia Nordlander: A few questions regarding future revenue. It’s probably hard for you to answer that but anything you can see what it can look like. It decreases the TAM for sure. 
Kristian Nylen: I can’t comment on future revenues. I can say this much. I don’t expect modernized services to be a main part of our revenues, what I do expect is that we will create the relationship with customers and being able to sell more and more services to. So I think for us, it’s more about getting your relationship with the tier one operators again, and being able to sell more and more services to them and eventually, our belief is that you will see a much, much bigger part of the services being outsourced. But it will probably take a few years.
Mia Nordlander: Here is a general question I think what you have seen in business in general in regards to M&A as the market matures from big players specially their intention to end to the markets.
Kristian Nylen: I mean I guess it will probably not be so much M&A going on in the near future. It will probably be much, much harder to find the capital. I think it’s probably quite a large disparity between the valuation of listed companies and what the companies that are not listed or looking at. Long term, of course, I think that you will see more and more M&A which, yes, it’s just a natural part of a business.
Mia Nordlander: Another one for you, Kristian, what do we expect in terms of B2B competition space changes when SP tech is dropping off what do you think about expansion into Asia? Two questions.
Kristian Nylen: Yes. First one. I mean, there is some competition out there. I think we are quite a lonely in the premium segment at the moment. But I mean, yes, you see some competition out there. Of course, I’m not very keen on mentioning names of our competitors. Asia, I think it’s very exciting. It’s probably a few years away still. We obviously are waiting for a regulated market. But we have mentioned before, we think India and Japan is probably two other countries that are most likely to happen in the closest timeframe, but it’s probably three to five years away.
Mia Nordlander: I think we’re running out of time here. And so thank you very much for sending in your questions. And thank you for listening in to us. We will be back with our Q4 report on the 22nd of February. And so we’re looking forward to see you again. And as always, if you have questions, feel free to reach out to our department into myself or to Kris and I wish you a very good afternoon or morning wherever you are. Goodbye.